Operator: Good morning and welcome to the SiriusXM's Second Quarter 2020 Results Conference Call. Today's conference is being recorded. A question-and-answer session will be conducted following the presentation. [Operator Instructions] At this time, I would like to turn the call over to Hooper Stevens, Senior Vice President, Investor Relations and Finance. Mr. Stevens, please go ahead.
Hooper Stevens: Thank you and good morning, everyone. Welcome to SiriusXM's second quarter 2020 earnings conference call. Today, Jim Meyer, our Chief Executive Officer will be joined by David Frear, our Senior Executive Vice President and Chief Financial Officer. At the conclusion of our prepared remarks, management will be glad to take your questions. Scott Greenstein, our President and Chief Content Officer will be available, as well Jennifer Witz, our President of Sales, Marketing and Operations. Jennifer and Scott will be available for the Q&A portion of the call. First, I would like to remind everyone that certain statements made during the call might be forward-looking statements as the term is defined in the Private Securities Litigation Reform Act of 1995. These and all forward-looking statements are based upon management's current beliefs and expectations and necessarily depend upon assumptions, data or methods that may be incorrect or imprecise. Such forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information about those risks and uncertainties, please view SiriusXM's SEC filings. We advise listeners to not rely unduly on forward-looking statements and disclaim any intent or obligation to update them. As we begin, I would like to advise our listeners that today's results will include discussions about both actual results and pro forma adjusted results. All discussions of pro forma adjusted operating results assume that the Pandora transaction closed on January 1, 2018, and exclude the effects of stock-based compensation and certain purchase price accounting adjustments. With that, I'll hand the call to Jim Meyer.
James Meyer: Thanks, Hooper. Good morning everyone. SiriusXM’s second quarter represented extremely resilient performance in one of the most challenging times in our company’s history. Our business performed significantly ahead of our expectations during the second quarter, with a quick and improving pace month by month. And we are moving aggressively to boost our streaming engagement, execute on our long term goals such as 360L deployments and invest in a growing podcast market. During the second quarter, despite the effects of stay at home orders on the economy, we added about 200,000 more net new subscribers than we did in the first quarter. And while our revenue was down 5% versus last year on lower advertising revenue, our adjusted EBITDA was flat. On our first quarter call, I told you we would continue to generate substantial positive free cash flows and we did just that in the quarter, generating approximately $0.5 billion in free cash flow a bit than last year’s second quarter. We are poised for a strong finish to the year, despite the uncertain economic outlook and rising COVID-19 cases in parts of the country. We are resuming our practise of providing annual guidance. We now expect approximately 500,000 self-pay net subscriber additions, total revenue of approximately $7.7 billion. Adjusted EBITDA of approximately $2.4 billion and free cash flow approaching $1.6 billion. To put our business outlook in perspective compared to 2019, we expect self-pay subscribers will grow. Revenue will decline slightly on the COVID driven hit to our ad sales, and adjusted EBITDA and free cash flow will be about the same. As I have said many times, business models matter. And our business model is very resilient. Although auto sales fell substantially, the second quarter finished better than it started. April SAR of 8.6 million was down 48%, but May SAR improved to 12.2 million and June SAR further improved to 13 million. Consensus for full year 2020 auto sales now sits at about 13.2 million as analysts expect auto sales to continue to improve. In addition to an improving retail mix of auto sales, our new car penetration rate continued to rise, up nearly 500 basis points year-over-year to 77% in the second quarter. We continue to expect to reach 80% by the end of this year. We have announced significant 360L deployments starting this year with a variety of automakers, including Audi, BMW, Fiat Chrysler, Ford, GM’s, Buick, Cadillac, Chevy and GMC brands and Volkswagen, stay tuned for even more. This deployment is now really gaining steam, and we expect in this year at about 1.4 million 360L vehicles in operation, a figure which should roughly triple in 2021. We’re excited to give so many customers this enhanced experience. The used car business continues to provide a tailwind in the second half of 2020. Used car penetration is now a shade under 50%, up about 500 basis points versus this time last year. While new vehicle starts fell 26% in the second quarter, used vehicle starts fell only 5%. And for the first time ever, we had more used car trials than new car trials. The pandemic and stay at home orders during the second quarter helped accelerate more streaming engagement by our customers. This trend began last summer when we included streaming at no additional charge for the vast majority of our subscribers. The amount of SiriusXM self-pay subscribers streaming every month has doubled since last summer. We also took advantage of attractive advertising rates in the second quarter to launch a large scale large multimedia campaign, which raised both the awareness and usage of the Sirius XM app. Of course, the biggest challenge we faced, and the biggest drag on our financial performance has come from our advertising market that fell sharply, reducing our ad revenue by 34% in the quarter as compared to last year. I will note that the trend within the quarter was positive with April down 44% from the prior year, May down 38% and June down 22%. Although recovering, the outlook for advertising revenue remain uncertain for the rest of the year. We’ve also been pleased that the reduction of advertised – we’ve also been pleased that the reduction of advertising supported listening hours at Pandora has been abating. After being down as much as 18% early in the second quarter, add hours finished the quarter down less than 6% compared to the prior period. We’re seeing gains and hours spent listening to CE devices, mitigating declines on mobile, and web. As important, Pandora ad hours are increasing for listeners 35 and older. We are extremely excited about the prospect of assembling the premier suite of audio advertising products in the world. The acquisition of Stitcher and Simplecast compliment ad waves leading ad tech platform and Pandoras Digital Audio sales capabilities. Simplecast, a leading platform for podcast creators strengthens our capabilities in content management and analytics, as well as provides leading ad technology tools for publishers and advertisers operate scaled ad marketplaces for podcasts and other audio content through both programmatic and direct sold product offerings. Stitcher produces a number of high visibility podcasts, has a leading ad network and sees about 150 million downloads per month. When combined with a U.S. audience reach of Pandora and SoundCloud, this combination of content, technology and sales capabilities will allow advertisers the opportunity to execute audience based buys with unprecedent skill, ease and efficiency. Our expanded podcast efforts fit well with our existing advertising led focus at Pandora, and AdsWizz and position us to improve precision targeting, measurement and monetization for the broader podcast mark. I’m thrilled for Sirius XM to participate more in this growing space, which now draws more than 100 million monthly listeners and provides a unique value proposition for both listeners and creators. We look forward to closing Stitcher later this year, and for the opportunity to grow, to drive growth with investments in this space. As always, producing and delivering fantastic content is always our number one job, and we continue to do just that. We are the owner of the original audio bundle. And we've been delivering premium talk content since day one. Our shows are live and relevant to the times, and we’ve witnessed an unprecedent response from both music and other entertainments top talents with their willingness to participate in new programming and presentations on our platforms. With one of the world’s biggest bands, YouTube, we launched its much anticipated full time channel, U2 X-Radio. Each member of the band is deeply involved in creating and hosting exclusive shows on this channel. And YouTube said in press interviews, they relish the opportunity to expose both new and hardcore fans to their full catalogue, as well as remixes and rare recordings, something they noted is lost and algorithmic playlists from other audio platforms. We’ve honed and elevated our game and music programming, with the launch of several new artists’ channels on our satellite and streaming platforms. We launched the first wave on May 1, with a prince channel and other channels dedicated to Led Zeppelin, George Strait, David Bowie, the Eagles, Fleetwood Mac, Guns N' Roses, Metallica and the Rolling Stones. These channels all created with the artists and in some cases, their estates were part of our stream free campaign in May. By opening up our SiriusXM streaming service for free during a time when people needed news, information and entertainment. We saw over 4 million people take advantage of it. And of course, we are now working hard to bring in many of those listeners as subscribers. Earlier this month, we launched another suite of streaming channels with Beastie Boys, Bob Marley, Coldplay, Queen and comedian Jim Gaffigan. As various sports have returned to live action, we’ve been quick to get back to delivering the live broadcast and comprehensives coverage our listeners want and expect from the return of live golf events and NASCAR races in May through the start of the MLB season last week, and the restart of the NBA season tonight, plus IndyCar Formula 1, EMSA races, soccer and horse racing. SiriusXM is back to offering sports fans an extensive live sports schedule. And our business radio and Doctor Radio channels continue to assemble experts and leaders for exclusive panels and town halls to inform and discuss the variety, the array of effects COVID-19 is having on our health, daily lives and the national economy. While no one would have predicted a 2020 like we've had so far, I am proud to say SiriusXM is not merely surviving this current storm. Our business model is strong, our employees talented and dedicated and we are in a envious financial position. We are making smart investments and growing areas like podcasting, and expanding the tremendous reach and capabilities of our advertising platform. We have already seen very clear and positive trends across most of our business in the past couple of months, and we hope that this recovery continues. Regardless of the fits and starts that may come, we will keep our heads down with a focus on execution and investing in a foundation that will enable us to grow for years to come. With that, I’ll turn it over to David.
David Frear: Thanks, Jim. SiriusXM’s second quarter was remarkably good considering the seismic challenges across the economy. We added 264,000 self-pay nets, our 44th straight quarter of positive self-pay net ads. Our churn rate improved by six basis points year-over-year to 1.6% and was the lowest quarterly churn rate in more than a decade. Non-paid churn actually improved in the quarter, and lower auto sales resulted in significantly lower vehicle related churn. These improvements more than offset a modest rise and voluntary churn. New car conversion rate was down about one point year-on-year to 37%, while used car conversion remained steady in the mid 20% range. Our ARPU rose 1% and excluding the advertising impact on ARPU, ARPU rose 3%. Revenue declined 5% to $1.9 billion, with nearly all of that decline coming from lower advertising revenue. Despite losing 87 million of margin contribution from Pandora, adjusted the EBITDA was roughly flat year-over-year at $615 million because of lower expenses across the board, particularly in subscriber acquisition costs. Our enabled fleet grew to 129.6 million vehicles or about 47% of the cars on the road in the U.S. At the end of the second quarter, the total trial funnel stood at 8.1 million down from 9.1 million at the end of the first quarter. That contraction was sharpest in April, but ended up being significantly better than what we had modeled at the start of the pandemic. Fewer trials starting in the second quarter will reduce self-pay additions in the third quarter. With COVID cases surging in many parts of the country, there remains justifiable concern about the shape of the economic recovery. Despite that, with improving visibility into the back half of the year, we feel confident in our subscriber guidance. With this background -- backdrop, there’s also risk associated with the audio advertising market, but we feel good about hitting our revenue guidance of approximately $7.7 billion. As advertising revenue builds in the second half, Pandora's gross margin will expand at a healthy clip. If auto sales outpaced analyst’s estimates in the second half, SAC expense will expand with it boding well for revenues in 2021. We are confident of our guidance for adjusted EBITDA of approximately $2.4 billion for 2020. The launch of SiriusXM 7 is expected later this year, and the SiriusXM 8 launch should occur in early 2021. We still expect to pay no federal cash taxes this year and a relatively small amount in 2021. We estimate CapEx this year in the range of 330 million, which brings us to our free cash flow guidance of approaching $1.6 billion. After suspending our share repurchases in March in response to the uncertain impact of COVID-19, we resumed repurchases just after our first quarter earnings call and bought back about 165 million of our shares in May and June. We have put to work nearly $1 billion this year already, with 525 million in share repurchases and dividends in the first half of this year, plus 428 million of capital committed to our acquisitions of Stitcher, Simplecast in our investment in SoundCloud. In June, to lower our interest expense and extend maturities, we very opportunistically issued a $1.5 billion of new 10-year unsecured paper at a rate of just 408 [ph]. And then July, we use the proceeds to redeem a similar principal amount of our four hundred and five eights notes due in 2023 and the five and three eights notes due in 2025. At the end of the second quarter, our net debt trailing 12-months adjusted EBITDA ratio was three times in our one and three quarters billion revolving credit facility was completely undrawn and fully available. Our capital allocation and leverage targets remain unchanged, and we expect to continue our share repurchases in the back half of the year. Operator, with that, let’s open it up for Q&A.
Operator: Thank you, sir. [Operator Instructions] Your first question comes from Steven Cahall from Wells Fargo. Please go ahead. Your line is open.
Steven Cahall: Thanks. Maybe just first one on churn, I think you said vehicle churn improved and it was only a modest increase in voluntary churn. So maybe any color on involuntary churn and since used trials are now more certainly getting bigger than new trials. Maybe you could give us an update on what churn is trending for your used subscribers versus new subscribers? And I have a quick follow up.
James Meyer: David, why don’t you…
David Frear: Yes. So on involuntary churn, I mean, you may have heard this from some other people in this earning season. We’re sort of stunned that, the very low level of non-pay churn. It’s something that we never would have guessed going into an economically sensitive period. And, the fact is, is the rate on that here is fallen. And, there are lots of theories out there on it that there are there's some writing that suggests that with the overall level of consumer spending down from past levels, there’s more room, more availability on credit cards and think, as everybody knows that our subscriber base is 80%, debit card and credit card. And, and so maybe it’s not, maybe it’s just that you know with the rise in voluntary churn that you have a little bit of a shift. It’s tough to know, but it sort of is what it is. And performance on the churn side has been has been great all the way around. With respect to used trials and churn rate on used cars to me there’s not a significant difference between what we experience between the different types of cars that generally as cars get older churn seems to be a little bit higher, but then you always have this thing with what's going on in the household. And so, I’d say that there isn’t anything in the mix shift that's going to take us out of the performance rate that you've seen, in churn have sort of been roughly in this 1.7% area.
Steven Cahall: Great. And then on capital allocation, so with a little more M&A this year, but with the business proving a lot more resilient, as I think you said, How do we just think about capital allocation at the back half, free cash flow looks a lot like it did last year, does a buyback presumably look similar as well? Or if you were an RC, which is sort of strip out what you might be spending on M&A as we think about your appetite for buyback opportunity? Thank you.
David Frear: David. For a long time, we’ve thought about the business generating about $2 billion in excess capital. And that remains true, true today. And so that excess capital can go to, external growth, acquiring external growth, or in the contrary [ph] to get to the free cash flow. We’re investing everything we think we responsibly can to drive growth in the business and then the next step is to go into that 2 billion and say, is there something good to acquire out there? Like Stitcher and Simplecasts which we think add critical components to our business. And then after that we look at -- we have our dividends, and that’s a little bit over $200 million year allocation and then what remains is available for buyback, depending on price value relationships in the stock, as the market goes up and down from time to time. So, really no change at all in our capital allocation policy.
Steven Cahall: Thank you.
James Meyer: Operator, can you move to the next question?
Operator: Tony, it appears that some of our participants have been removed from the queue. [Operator Instructions]
James Meyer: Let's go on to the next question, please.
Operator: We’ll now take our next question from Ben Swinburne from Morgan Stanley . Please go ahead. Your mind is now open.
Ben Swinburne: Thank you. Good morning. I have two questions, one on the OEM side, and one on programming. Jim, could you give us I know you can’t talk about specific OEM partners, but can you give us a sense for the ramp in 360L and so now that that's in the market a little bit, if you you’re seeing more interest in bringing that product into more vehicles and sort of how quickly that might ramp over the next couple of years. And I think David said, you’d be at 80 – kind of David or you that’d be an 80% install rate overall later this year. I just want to confirm that because it seemed like a bit of an acceleration from the last time we heard from you. So that’s sort of the broader OEM question.
James Meyer: Okay, so Jennifer, why don't you take the 360L question, please?
Jennifer Witz: Sure. We are, I think as Jim said, we’re in the process of ramping up, we launched with two of our OEMs over the past couple of years. And we’ve had a number of announcements over the last couple of months without AVW [Ph], BMW and Ford. And really, as with any other new product launch, and you’ll start to see this rollout in conjunction with new model year launches and new in vehicle infotainment platform launches. It’s really; the OEMs have been excited about this product. We’ve had great, kind of engagement with consumers and especially on the features of voice, on demand and recommendations. And there’s real buy in from the OEM. So I think we said, yes, we expect the vehicles and operation to triple by the end of next year, and then it will just keep ramping from there.
James Meyer: That’s triple – that's triple from 1.4 million at the end of the year.
Ben Swinburne: So I just interrupted you
James Meyer: Yes, it just for Ben’s sake, we expect to have 1.4 million vehicles in operation at the end of the year, and then that to roughly triple in 2021.
David Frear: Okay, and then finally Ben - Ben I’m really comfortable on the 80% guidance we gave you by year end for penetration.
Ben Swinburne: Terrific. And then just a quick content question, I’m sure you’re not going to be surprised by it. Obviously, a lot of focus as there is every five years on the Howard Stern relationship, which I know there’s only so much you can say, Jim. But is there any way to help us think about how much of Howard’s library or how much of his content SiriusXM essentially retains the rights to long term? And then I think when you guys last [Indiscernible] with him, you created maybe a deeper, broader partnership that could last, for a longer period of time. And just – maybe you can help us to understand kind of how that product might evolve over the long term, whether without Howard or anything you could say at all since is obviously a lot of focus on it?
James Meyer: Sure, you’ve got a good memory, Ben, then and your recollection is correct. And I’ll, I’ll talk to it just briefly. But first let me say, and I, and this is not, just rhetoric. Okay. Howard is performing at the top of his game right now. And he has been for pretty consistently on time. I couldn’t be happier with the status of Howard show. In particular, given the transition he's made from doing everything at our studio at 1221 in New York to now doing it remotely and doing it flawlessly. And by the way, it’s Howard and the team that we have that supports how I’m really pleased. Even just this last week as guests and the quality of the shows is that is terrific. Number two, release from everything I can tell, Howard is very happy with what he's doing. And I can tell you, it matters when Howard’s happy his shows are better and he’s certainly more relaxed. I think that's like all of us. I've been clear. I want Howard Stern to work at SiriusXM, for as long as Howard Stern wants to work. And I've engaged with Howard’s team. We began those conversations again late last year. Obviously, the virus got kind of in the way of our cadence. We are reengaged I can tell you in those conversations right now. I know what Howard wants. And, we're trying to figure out a way to make all those things work together. And, I don't want to be overly optimistic here, but I want Howard here. And we'll work this -- let me say, this way. This process isn't any different to me than the last three. And so we'll keep working and we'll get there. I hope. Now, with that by the way, at the end of the day, it's going to come down to also quite candidly, what does Howard want to do? So, but quite -- but back to your original question. Yes. In our last agreement with Howard we can't -- we were under contract with him for a five-year period to do his live shows and in the event that Howard wants to discontinue his live shows or for instance, retire at the end of this year. We have the rights to his library for another period of years. I'm not recalling the exact date, but it was, it was in one of our filings. And obviously, we would do that. That that's not what I would like. I want Howard on the air. And he's an unbelievable talent, and unbelievable for our brand. But yes, there is a run-off period, that run-off period is very, very…
Ben Swinburne: I think its seven years, Jim.
James Meyer: Okay. And that run-off period was something that both of us thought was important and included in our previous agreement. So, we're going to keep working at this and I'm pretty sure at the next earnings call, we'll have something to say here. But I'm focused; I guess is the only word I can say here.
Ben Swinburne: I appreciate all that. Thank you.
Operator: Our next question comes from Jason Bazinet from Citigroup. Please go ahead, your line is open.
Jason Bazinet: I just have a question on podcasts. The industry is still pretty embryonic. And I would just love to hear sort of how you think, sort of podcast, the podcast industry evolves overtime. And how, when you sort of look at various podcast properties, how you sort of think about how they fit into your overall strategy?
James Meyer: And then Scott, pick up after I start. Okay.
Scott Greenstein: Okay.
James Meyer: So Jason, first and foremost, I think you're right. The word you use is a good one. And that's why I think investors have to be a little careful about over committing to what the size of this business could be. We don't know. What we do know is we've been in the audio bundle business for a long time. And so we -- we think we understand for a very long period of time. If you look at audio entertainment, kind of what the mix of that is between music and spoken word. And, that's been fairly consistent for many, many years, but perhaps a change in the way that content is delivered, can accelerate that, we’ll see. That said, I think podcasting is a very important part of our audio bundle. I'll be quite candid with you. I don't see. I have, I don't know what the viability is of podcasting, as a standalone business, only if you're in the podcasting business. It takes an awful lot of investment, an awful lot of marketing, and an awful lot of things to do, but there's quite a few people out there and we certainly intend to support that on our platform side of our business. I also believe the podcasting game is in the first inning. And for us, this isn't about, well can we get this content? Not have somebody else have it? Or is that -- that's not at all the way we look at it. The way I look at it, and the way Scott and I drive it, is primarily what content can we add to our platform, that significantly either increases our value proposition or increases our customer engagement on our free platforms. That's really the way we look at it. And that's going to be a wide variety of content and I don't believe any one particular one or two or three titles is going to drive -- is going to drive that. Scott, why don’t you jump in?
Scott Greenstein: Yes. Thanks. So a couple of things. You know, at its heart, podcasting is audio content. And when you look at that, obviously our expertise as a company in that area speaks for itself. But when you look back at terrestrial radio, there was a lot of AM and FM content that was effectively to our content. And it had a track record. Like Howard Stern and many others, you sort of knew what kind of audience was moving over. So podcasting as Jim said, we're in the first inning. It's evolving business models matter. When things emerge and become significant, we're certainly able to look at what would work in our platform. So that's number one. Number two, the marketing aspect. The podcast is very nascent, and our SiriusXM and Pandora windows on any podcast automatically changed the marketing game with that. And so I'm particularly excited about content not isolated as co-podcasts, but as audio content that can flow all the way up and down. And as I mentioned, our ability now to have our financing and our business model complemented by our podcasting acquisitions with Simplecast and as was and now Stitcher is going to allow us maximum flexibility on it. And the last piece is, in that first inning concept, big talent in this area, and brands and others are first getting involved. And a lot of them have a lot to lose if their brands aren't as strong or positioned as well in this new podcasting. Well, way because as you can tell by the numbers, not many podcasts do very significant numbers. So I think our expertise in producing marketing and doing what we do and our marketing window on our platforms I think we're positioned really well to at least start going from here on in.
Jason Bazinet: That's helpful. Thank you.
Operator: We'll take our next question from Brian Russell from Credit Suisse. Please go ahead. Your line is now open.
Brian Russell: Hi, thanks for taking the question. I have two. The first one, I was hoping you could talk about what your thinking is for M&A at this point. What types of assets might still interest you? Is it technologies content? Is it mad salesforce? Or is your portfolio pretty complete at this point? The second question is, again relating to this, just call it non music. I think David said in the past, I think that music is somewhere between 80% and 85% of what your customers listen to. Do you think, maybe spoken word content is more valuable to your product than its share of listening time would suggest? Thanks.
James Meyer: So I'll start and then I want David to comment on both of your questions. But then I’m going to start with the latter first. We’ve always believed in non-music content. It’s why, by the way, and it’s more than spoken word. We believe live sports is also a key part of the audio bundle. And I think we’ve proved it. I mean, we’ve been, we’ve been at this for close to almost 20 years, right. And, and so, we and again when I speak, I speak to what our customers in North America want. And so, we’ve always believed in the value of the live bundle. I’ve also always believed that particularly in the subscription business, really my comment applies to the subscription business. Customers, customers pay for what they think they listen to, not necessarily entirely what they do listen to, okay? They pay for what their perceived value is of the service. And so I can tell you customers when you solve, for instance, a one time for them and a month period, an NFL game that they can't get normally. And then you go back and ask them how interested they are in the NFL? They'll tell you all the time. I also think that the numbers you quoted from David are relatively close to what I believe the ultimate listening spread can be. But at any given time, that can change and it's mixed during a particular period. So in my opinion, the bundle is very, very important. This is not new news for us. We’ve been at it from day one with a bundle, and we can, and I can tell you, we continue to believe in that and on the Pandora side we will continue to expand bundle from more than jazz music going for it. David, can you take the M&A question, any comments you want on that?
David Frear: Sure. So just to finish up on the music talk side. I think Brian, we've talked about the past is that you know for a long time, there are a lot of studies out there that says AM and FM radio, which is the largest population we have for looking at long term trends and listening in North America, which is what we're most interested in. That over the long term that's been an 85:15 split between music can talk, but you got to remember that even within the music, a lot of what they're listening to, is their favorite DJ in the morning. And not necessarily the music they're in it for the engagement. So and we do skew below that long term average because of the preponderance and the breadth of content that we have. In terms of level of importance, brand affiliation has always really mattered us in that, whether it's the NFL or the NHL or Howard Stern and the different news brands that it creates awareness and you know of -- it carries that brand through and builds awareness for us and gives just another reason for people to subscribe. How much they actually listen to the content that moves them is less important than it actually moving them. And so they might, someone might subscribe so that they can listen to play by play for out of market gains. And that they can't get elsewhere even though that's only once a week, but it might be that trigger that causes them to go. And far and away the most important part of the whole puzzle is the curation, because if you were just playing music with no hosts, it you know, it's – there’s nothing differentiated about it. And so the -- how they're packaged in the channels, and what the hosts do with it, and how you curate the non-music content, the pop up channels, which is more brand affiliation that whole package is what is what Scott's team is focused on to really sort of drive interests in the service. On the M&A side, I think we're in pretty good shape at this point for, and I don't think that there's, it's funny, you've heard us say this in the past. I don't think there's anything we're missing. And so, for instance on monetizing digital audio, regardless of whether that's music, or something called a podcast or something called an on-demand episode from, from radio, that we have a stack of products for the marketplace to buy if they're interested in buying them. So with Simplecast, we have a content hosting and data analytics platform that is flat out the best in the world. Any podcaster regardless of where their podcasts are being listened to should want to be on that system. Ads was has the best technology out there for ad insertion, and the order and buying process associated with digital audio advertising, regardless of whether it's music, or talk. And John Trimble's team from the Pandora side is the largest scaled sales representation team in digital audio. So if you're, it doesn't have to monetize on our listening platform. That's, that's an additional benefit we get. But if you're anybody out there playing in the digital audio space, that you're going to want to be talking to us about how to improve your monetization is one of the big challenges in digital audio today is no one has scale. All the podcasters are -- have fairly limited reach. And it's an awful lot of direct response advertising, not a lot of branded advertising. And one of the reasons there is, is that the brands can’t put enough money to work efficiently. And quite honestly, we have an array of products and an audience size across those products that solves that problem for brands. So, I think we've got all the pieces. That being said, there's always somebody else out there who can add a little bit more to what you got and we'll keep an eye out to the things that have good value.
Brian Russell: That's very helpful and very interesting. Thank you, both.
David Frear: Brian. One last point. Jim, I just want to point out also it's been a while now we've been actively involved but we like our investment in SoundCloud. We like the management of SoundCloud and David sits on the board along with another member of my team. And we like -- we'll see where it goes and how they do what we like that position as well. And I think that also helps anchor our advertising off platform business.
Brian Russell: Understand. Thank you.
Operator: We'll take our next and final question from James Ratcliffe from Evercore ISI. Please go ahead. Your line is now open.
James Ratcliffe: Hey thanks for taking the question. Two if I could. First of all, regarding the very strong churn number in the quarter, can you talk about what you're doing in detention? You mentioned voluntary children like, do you have any metrics around attempts to churn or anything like that? You guys don't make it particularly easy to disconnect. Just trying to get an assessment there what's driving the lower churn activity. And second, has the world changed a lot since you put out your January guidance? But looking at the July guidance versus January, the revenue died down about $40 million [Indiscernible] it was only down about $100 million. Can you talk about what the – what’s driving that people can find out [Indiscernible] better margins? Thanks.
James Meyer: Hey David, I think those are both for you if I heard James correctly.
David Frear: You know, actually, Jennifer, could you hear James? Okay.
Jennifer Witz: Yes. I think on the retention side, there’s a couple of things. We have, we have active days programs as you know. We've opened up a number of other channels, pushed a bit by COVID really. But on the digital side so, we have chat and messaging, and we're increasingly opening capabilities in digital. And we're improving our sales capabilities there. So, it's a combination of reinforcing the value and of course, promotional offers. But I would say one of the biggest things we've done and launched in the middle of last year is, is providing streaming to the majority of the base. And while it's still new, we have as Jim said, doubled usage among ourselves say based over that time period. And our retention among customers, not surprisingly who engage with us outside of the car through streaming is much higher. So, that is something you'll continue to see us pushing. And we did a big campaign with stream free, which was not only about getting new prospects into our streaming experience, but also driving awareness across our satellite trailers and our self-pay base about our streaming product.
James Meyer: Oh Jen, good point. Jim Meyer now and then I'll turn it back over to David. His work -- and I won't be bashful here, because I'm really damn proud of where we are. We're operating our -- both acquisition and sales retention teams are not just performing better now than they were when -- which was our original comparison when COVID first impacted us and it had a significant impact on those teams early on. They're performing better than they were, a year ago. And I'm really proud of what they're doing and we just settled into now a formula that works and we're just executing it hour by hour. Okay. And I can tell you, churn management is a lot about just X's and O's and strong every hour execution and our team is, our game is delivering.
David Frear: And on the comparison between January and July and the revenue and the EBITDA -- what in essence what you have going and clearly you know are the self-pay additions, our net self-pay additions are expected to be well, they look pretty healthy now compared to what we saw a couple months ago, they're still down from our original guidance. So subscription revenues will grow but they won't grow as much. And advertising revenues on the other hand are they're going to take a hit this year, there's no doubt about that. So they have a big revenue down. And then as you look at, the line items in the P&L, so with lower auto production, overall for the year, SAC is definitely going to be down with fewer auto sales and fewer trial starts across the year. The sales and marketing campaigns to support them are going to be down year-on-year. And then, it’s sort of in our DNA that as soon as COVID hit and we had an understanding of the fact that our world had changed that Jim and the rest of the management team took a hard look at ad spending and costs and pace of hiring and projects that we're initiating and pull back because we -- we've got an economic pullback going on. So they what you see is lower growth in substance had originally been expected. The fall in advertising and then honestly, solid cost management across the board help make up some of that gap.
James Ratcliffe: Thanks everyone.
James Meyer: Thank you.
Hooper Stevens: Thank you. That concludes our call. Appreciate it James, and everybody for participating and we'll speak to you offline in the coming days. Take care